Operator: Good morning, ladies and gentlemen. Welcome to the Fourth Quarter Results Teleconference for Travelers. We ask that you hold all questions until the completion of formal remarks, at which time you will be given instructions for the question-and-answer session. As a reminder, this conference is being recorded, January 22, 2015. At this time, I would like to turn the conference over to Ms. Gabriella Nawi, Senior Vice President of Investor Relations. Ms. Nawi, you may begin.
Gabriella Nawi: Thank you, Tina. Good morning, all, and welcome to Travelers’ discussion of our fourth quarter and full year 2014 results. Hopefully all of you have seen our press release, financial supplement and webcast presentation released earlier this morning. All of these materials can be found on our website at www.travelers.com, under the Investors section. Speaking today will be Jay Fishman, Chairman and CEO; Jay Benet, Vice Chairman and Chief Financial Officer; Brian MacLean, President and Chief Operating Officer; Alan Schnitzer, Vice Chairman, Chief Executive Officer of Business and International Insurance; and Doreen Spadorcia, Vice Chairman, Chief Executive Officer of Claim, Personal Insurance and Bond and Specialty Insurance. They will discuss the financial results of our business and the current market environment. They will refer to the webcast presentation as they go through prepared remarks and then we will take questions. Before I turn it over to Jay, I would like to draw your attention to the explanatory note included at the end of the webcast. Our presentation today includes forward-looking statements. The company cautions investors that any forward-looking statement involves risks and uncertainties and is not a guarantee of future performance. Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. These factors are described in our earnings press release and in our most recent 10-Q filed with the SEC. We do not undertake any obligation to update forward-looking statements. Also in our remarks or responses to questions, we may mention some non-GAAP financial measures. Reconciliations are included in our recent earnings press release, financial supplement and other materials that are available in the Investors section on our website, travelers.com. With that, Jay Fishman.
Jay Fishman: Thank you, Gabi. Good morning everyone and thank you for joining us today. As you have already seen from our release this morning, we closed out this year with record results. We achieved record levels of net income per diluted share for both, the quarter and the full year of $3.11 and $10.70, respectively. Our return on equity and operating return on equity were also very strong quarter, bringing our full year return on equity to 14.6% and operating return on equity to 15.5%. Just as important is what's behind those numbers. Across the organization, we couldn't be more pleased with how we have executed on our business strategies, including our approach to the marketplace in domestic business insurance, the introduction of Quantum 12.0 and moving our personal insurance business to be better positioned, the continuing evolution of our international footprint and our exceptional positioning in Bond & Specialty Insurance. Just as important is our capital management strategy. In 2014, we returned over $4 billion in capital to our shareholders through dividends and buybacks, while still maintaining our significant balance sheet strength. Reflecting on our performance over the last 10 years, now a decade since the merger, a few things stand out. When we introduced our long-term financial strategy in 2006, that is creating shareholder value by producing superior returns, driven by building meaningful and sustainable competitive advantages, generating top-tier earnings and capital substantially in excess of our growth needs and maintaining a balanced approach to rightsizing capital and growing book value per share over time, we were confident that it has been successful in the broadest sense beyond our expectations. Over these 10 years, our cumulative operating income has been approximately $31.6 billion and we have reduced our share count by more than 61%, returning $30.7 billion to shareholders through repurchases and dividends and amount exceeding the then market capitalization of the company, and we did this while still making investments that were important for our business and acquisitions that were opportunistic for us along the way. Consequently, we have produced a very strong average annual operating return on equity of 13.3% over that time. Our shareholders have benefited from superior total returns as shown on Page 4 of the webcast, where you can see the 1, 5 and 10-year performance of travelers compared to other U.S. financial companies. Obviously, we posted top-tier returns, but even looking globally we have identified only a small handful of large financial service companies, whose 10-year performance exceeds ours. We remain optimistic about our ability to successfully execute these strategies. Our own observation is that the markets in which we do business remained fairly stable. For the last several years, we have shared with you that while we recognize that we could be wrong, we were skeptical of the concept of the old-fashioned severe insurance pricing cycle, where a bell to go off and it would be a few years of very high price increases and then another bell would go off and there would be significant price declines. Our view was and remains that there are no substantive differences in the way business is conducted that have and we believe will continue to change the characteristics of our markets. We have talked about the stability of the market as evidenced by the high levels of retention, the fact that we are not the only company returning significant amounts of capital as well as the focus of the industry on returns on capital. Advanced analytics and a more demanding regulatory and oversight environment have also meaningfully contributed. While there will always be changes in pricing both, increases and decreases in response to changes in loss costs, expense , interest rates or changes in real or perceived risk, as there are in many industries, we continue to believe that the amplitude of the cycle has narrowed substantially. Beyond the insurance market dynamics, we have real confidence that our organizations is well positioned to successfully navigate whatever set of challenges the external environment may throw our way. With our relentless focus on execution, deep and talented management team, highly analytical approach to underwriting and investment risk and a very high respect for our shareholders' capital, we remain well-positioned to continue to deliver meaningful shareholder value. With that let me turn it over to Jay Benet.
Jay Benet: Thank you, Jay. By any measure, our fourth quarter results, record net income per diluted share of $3.11, record operating income per diluted share of $3.07, operating ROE of 17.7% and a combined ratio of 85%, were very strong. As has been the case all year, these strong results were built on very solid investment and underwriting performance. Within underwriting, we continue to earn rate increases in excess of loss cost trends, which was the driver of 100-basis point improvement in our underlying combined ratio this quarter versus the prior year quarter, while experiencing only a modest level of cap losses and very strong net favorable prior-year reserve development. Pre-tax cap losses were $41 million in the quarter, down $12 million from last year's fourth quarter and pre-tax net favorable PYD was $351 million, up $92 million. While each of our business segments contributed to the favorable reserve development, it was primarily driven by Bond & Specialty Insurance's as contract surety business for accident years 2012 and prior. By business and international insurances, general liability product line for accident years 2008 through 2012. As I have been doing in recent period, I would like to provide you with a preliminary view of what our combined 2014 Schedule P is expected to look like when filed on May 1st. On a combined stat basis, for all of our U.S. subs all accident years developed favorably. Looking at the data on a product line, rather than on an accident year basis, all of our major product lines developed favorably in the aggregate across all accident years, except for relatively small amounts of unfavorable development in CMP and in personal auto liability. CMP developed unfavorably by approximately $68 million pre-tax on a reserve base of approximately $3.5 billion, spread out over several recent accident years. Our personal auto liability developed unfavorably by only $20 million pre-tax on a reserve base of approximately $2 billion, driven by development on a small number of large PIP claims from accident years 2005 and prior. I should also point out that the personal auto in total; combining liability and [ph] reserved development was essentially a wash as physical damage developed favorably by $18 million pre-tax. We have taken advantage of the recent evolution in aggregate CAT reinsurance products to restructure our CAT cover, further focusing on severe events that on a single or cumulative basis could impact capital. Effective January 1, we replaced our previous GEN CAT treaties, our $400 million CAT, aggregate excess of lost treaty which expires as scheduled on December 31, and our $400 million GEN CAT treaty, which our reinsurers agreed to terminate early as of that date, with a new aggregate ex-OL treaty that provides coverage for both, single events and accumulation of losses for multiple events. It is a simpler structure that provides $1.5 billion of coverage part of $2 million excess of $3 billion after a $100 million deductible per occurrence. It has a same broad pharaoh and geographic coverage of the former GEN CAT and ex-OL treaties and it positions the coverage layer to provide a significant buffer between earnings and capital. As an aggregate cover, there is a single limit with no reinstatement provisions, the cost is essentially the same as the previous program, but it provides greater potential recovery after the higher retention. Our Northeast GEN CAT treaty, or CAT bonds, earthquake and international covers remain unchanged and I refer you to Page 21 of the webcast for a brief description of the new treaty. Another subject I would like to touch upon relates to the recent drop in the price of oil. While this is not the first time that oil is trading at $45 a barrel, it was at today's levels as recently as 2009, we thought it would be helpful to provide you with the information appearing on Page 22 of the webcast, showing how much of our investment portfolio is invested in the low investment grade energy bonds and energy-related equities. As you can see, the sum of these investments is relatively small and we believe the exposure to be quite manageable. We continue to generate capital well in excess of what is needed to support our businesses and consistent with our strategy, we continue to return very significant amounts of capital to our shareholders. Operating cash flows were in excess of $500 million this quarter, inclusive of a $200 million discretionary contribution we decided to make to our qualified pension plan, bringing total operating cash flows to almost $3.7 billion for the year. We ended the year with holding company liquidity of almost $1.6 billion after returning almost $1.2 billion of excess capital to our shareholders this quarter alone through dividends of $182 million and common share repurchases of a little over $1 billion. For the full-year, we returned almost $4.1 billion of excess capital to our shareholders through dividends of $735 million and common share repurchases over $3.3 billion. One final note about share repurchases, since we began in 2006, the average price we paid for our shares was $57.56, approximately 60% of our current stock price. Once again, all of our capital ratios remain at or better than their target levels. Our debt to total capital ratio 21.7% was well within its target range. During the , book value per share increased 1% and adjusted book value per share, which excludes net unrealized investment gains and losses was also up slightly. For the full-year book value per share increased 10% and adjusted book value per share increased 7%, while net unrealized investment gains were almost $2 million after tax at the end of the year as compared to $1.3 billion at the beginning of the year. Now, let me turn things over to Brian MacLean
Brian MacLean: Thanks, Jay. Alan and Doreen are going to go over the individual segment results. Before they do, I want to make a few comments about our business and I will start with a significant progress we have made in personal lines. Three years ago, we discussed with you that we would be aggressively pursuing improvements in our financial returns in both, auto and homeowners primarily due to weather and auto severity trends. As we close out 2014, we couldn't be more pleased with the progress that we have made. We have taken necessary rate in both, our home and auto products while maintaining strong retention levels and we have tightened underwriting guidelines and made changes to terms and conditions in our homeowners' book. We also discussed that the increased utilization comparative raters by independent agent had resulted in a need to improve our competitive position in the auto market. To that end, we announced our production initiatives that would support the rollout of our new more competitive auto product Quantum Auto 2.0. We have now achieved our expense reduction goal and Quantum 2.0 is live in virtually all Quantum states. The impact from these bold actions on our results has been significant. Our homeowners' returns are in line with our target range and our top-line trends are improving. In auto, our returns are operating in a range that is acceptable to us given current market conditions. Importantly, our auto business is growing again and the higher new businesses creating long-term value, so overall, great progress in the independent agent channel. In the direct-to-consumer business, our decision to enter that channel reflected our belief that a large segment of the personal insurance market empowered by increased transparency of product and pricing information, would choose to buy insurance via the direct channel. While certain customer segments of this market have quickly embraced the direct channel, the customer demographic that Travelers target has moved more slowly. With that said we remain committed to the strategic channel and expect that over time it will become a more significant portion of our personal business. It is important to note that as we have invested in this channel, we have consciously targeted that investment to help strengthen our independent agent channel, which we believe, will continue to be a significant channel for our customer demographic, so we feel very good about this investment. The final point I would make in personal lines is the growing importance of the home product. Our industry is built around protecting consumers against risk, the greater the risk, the greater responsibility and opportunity we have. In that vein, the extreme weather volatility has added risk to the home exposure, making our industry-leading capabilities in the homeowners' line and even more significant competitive advantage and critical with the customer segment we target. Accordingly, we are continuing to invest to make sure that we maintain and leverage our industry-leading product as a part of a total customer portfolio solution. All-in, we feel great about the progress we have made in this business, we are proud of the many employees that have had a hand in executing these initiatives and we are grateful to our agents who have supported us throughout. In our commercial businesses, we are equally pleased with our progress, specifically seen in the steady improvement of our product returns which have been the driven by our consistent execution. As Jay Fishman, mentioned in his comments, we are encouraged by the continued stability of the market as evidenced by the strong retention levels we continue to see both, in our book and across the market. When we analyze our results at a very granular level, we see that we continue to be successful executing our basic pricing strategy which is to retain a high percentage of our business that is meeting target returns, improve profitability where needed, and quote on and write new business that meets our target returns. You will see in our results that we have had a bit more success last quarter in new business, but I would emphasize that that is a function of the improved returns on accounts we are seeing, and not a change in our appetite for new business. Alan will comment on this further, so overall, great results in 2014 with stable market conditions, very strong underwriting results. With that I will turn it over to Alan.
Alan Schnitzer: Thank you, Brian, and good morning. For business in international insurance, our fourth quarter performance capped off a very good year, with operating income of $630 million in the quarter and more than $2.3 billion for the full-year. In terms of production results, in the U.S. retention rates increased throughout the year, stable renewal premium change reflecting gradual declines in renewal rate regain and improving exposure. We are very pleased with our execution in the field and I will comment more on that in a minute. For the full-year, the underlying combined ratio was strong 92.8%, a half-point improvement from the prior year. While earned pricing in excess of loss trend contributed favorably to year 2014 results, there was also negative impact of about 1.5 for non-catastrophe weather and large losses relative to the prior year. The underlying combined ratio for the quarter was 93.9%, up 40 basis points from the prior year. The underlying loss ratio improved 40 basis points driven by the earned impact of price increases exceeding loss trend, partially offset by large losses in non cat weather. Impact of large losses was about a 0.1 in the quarter, arising out of our international business. We see this as a normal level of large loss volatility. Expense ratio was a little higher year-over-year, due to the effects of some favorable expense items in the prior year quarter. Turning to production, we had a very strong quarter in PII with net written premiums up over 6% from the prior quarter, driven by our middle market business and inclusion of Dominion for the full quarter. In domestic BI retention increased to 83%, while renewal premium change increased somewhat from recent quarters and new business was up about 6%. These production results reflect what you have been hearing from us for the last year or so. That is, given the rate gains we have achieved over the past four years more of our business is achieving adequate return, and for those accounts or classes, our primary objective is retention. Importantly, in our domestic BI business, we are on average still achieving flat to slightly positive written rate gains on our better performing business segment. For the lesser performing segments of our business, we are on average achieving written renewal rate gains in excess of estimated loss trends. Let me comment on the growth on new business in middle market, both Jay and Brian commented on the stability in the marketplace. As a consequence of that stability, the number of requests for quotes on new business has also been relatively stable. However, given the cumulative impact of rate gains in the market broadly over the past four years, a modestly increasing percentage of the new business request that we did see in the quarter, where return levels that met our threshold. As a result, in the quarter we were able to quote successfully on more accounts. The new business growth in the quarter does not reflect any changes of our return thresholds or more aggressive new business pricing. Looking at the production statistics, I would like to highlights some further detail. In select, retention was over 80% for the second consecutive quarter, with total renewal premium change of a little over 8%. In middle-market, retention was above 84% for the second consecutive quarter and renewal premium change was strong and increased slightly from the third quarter, a great result. In our other domestic BI business, we were pleased that both rate and exposure increased from the third quarter, resulting in 100-basis point increase, sequentially, in renewal premium change. Also, our retention increased to 81%, the highest level in more than two years. Looking at our production results for international, retention was strong at 82%, slightly higher than recent quarters. Renewal premium change was higher than the third quarter as exposures improved. New business was down year-over-year, primarily because the new business we saw did not meet our return threshold. In December, we were pleased to announce that our joint venture with J. Malucelli in Brazil, agreed to acquire a majority interest in Cardinal, a start-up surety provider in Columbia. The transaction is expected to close in the second quarter of 2015, subject to regulatory approvals and customary closing conditions. To sum it up, we are very pleased with our strong operating income and production results for the fourth quarter and the momentum we feel going into 2015. In terms of execution going forward, we intend to pursue more of the same. With that, let me turn it over to Doreen.
Doreen Spadorcia: Thank you, Alan. Good morning to all. Bond & Specialty Insurance had a great quarter, rounding out a strong 2014. Both, the fourth quarter and full-year results, are record earnings for the business and we are very pleased with the financial returns in this segment. For the fourth quarter, operating income was $216 million, 24% higher than the fourth quarter of 2013, while full-year income of $727 million was 27% higher than 2013. The increases from prior year were predominantly driven by the higher levels of favorable prior year reserve development that Jay Benet referenced earlier. The underlying combined ratio for both, the quarter and full year were strong at 84.1% and 82.2%, respectively. The quarter was slightly higher than 2013, due to a modest re-estimation of prior quarter losses. The full-year result was 2.5 points better than 2013, due primarily to benefits from existing our management liability excess of loss treaty. While there will always be some ups and downs in the year-over-year variances. I cannot emphasize enough how terrifically feel about the results, in particular the underlying fundamentals of how we achieved them. As with all of our businesses at Travelers, we remain committed to superior underwriting performance of our portfolios through aggressive management of risk and limits, including enhanced segmentation, underwriting analytics and claims management. Turning to production, net written premium for the quarter was $525 million, a decrease of 5% compared to the prior year, due to the exit of our management liability excess of loss treaty in the fourth quarter of 2013, which increased that period in net written premium. The non-renewal of this treaty in 2014, together with higher surety volume, drove 4% increase in net written premium for the full-year. Across our management liability businesses, retention of 84% was consistent with recent period in the prior year, while new business premium of $36 million was generally consistent with recent period. Renewal premium change, which can be somewhat lumpy due to variations in things like limits, written liability, attachment point and policy duration, was 5% for the quarter. In sum, I would like to reiterate one more time just how great we feel about the business and our ability to continue to produce superior financial results. I will turn now to personal insurance, where I would first like to reiterate Brian's comments about the progress made in the business and how great we feel about our ability to have a vibrant consumer business that generates appropriate returns. We had a great fourth quarter rounding out a strong 2014. Operating income for the quarter was $242 million, up slightly from the fourth quarter of 2013, while underlying income of $254 million was up 18% for the quarter from the prior year, driven by strong underwriting results. The underlying combined ratio of 84.3% in the quarter was an improvement of 4.5 points from 2013, while the full-year underlying combined ratio was 86.4%, an improvement of about two points from 2013. The improvement in underlying results from '13 for both, the quarter and full year, reflect continued benefits from earned pricing exceeding loss trends and our expense reduction initiatives. Before addressing the specific results for auto and homeowners, I wanted to give some detail on our expense reduction initiative. You will recall that our plan was to achieve pre-tax savings of $140 million on a run rate basis by 01/01/2015, and we are pleased to tell you that we have achieved that goal. As we have discussed in the past, about half of these reductions relate to claim management expenses, the impact of which shows up in the loss ratio. Since we started the program in the third quarter of 2013, there is about $100 million in cumulative pre-tax savings already in our earnings through the end of 2014. For the remaining $40 million, initiatives have already been executed and they will earn through in 2015. With this specific initiative met and now behind us, please rest assured that we will continue to manage expenses diligently as we always have. Looking at agency auto, retention remained strong and consistent at 83%, while renewal premium change was about 5%. Quantum Auto 2.0 continues to drive improvements in production, with new business premium of $161 million in the quarter, 87% higher than the fourth quarter of 2013 and overall net written premiums increased 4% for the quarter. We have also seen increases in policies enforced on a sequential basis for two consecutive quarters now. Turning to agency auto profitability, the underlying combined ratio for the quarter was 97.9%, an improvement of about four points and was 95.9 % for the full-year, an improvement of just over 0.5 for their comparable 2013 period. These improvements were driven by benefits from the expense initiatives and earned pricing exceeding loss trend, partially offset by the higher impact of new business volumes. In addition, the quarter included approximately 2.5 points of favorable prior quarter re-estimation. Lastly, on auto, our current view of the overall auto loss trend remains at about 3%, with no meaningful change in the underlying texture. Looking at agency, homeowners and other, production was strong in the quarter, with retention stable at 84% and renewal premium change of about 6%. New business premium of $83 million was up almost 40% from the prior year quarter and we remained focused on maximizing our market leadership position in the homeowners' line to provide broad consumer solution. From a profitability perspective, the underlying combined ratio of 69% was an improvement of more than 5 points over the fourth quarter of 2013, driven by earned pricing exceeding loss trend and favorable losses including non-cat weather. Overall in personal insurance, a terrific finish to 2014, and we feel great about our momentum heading into 2015. Finally I would like to echo one of Brian's earlier comments, and this applies to all of our employees, in all of the businesses. We are very proud of the hard work of all of our employees and grateful for the partnership with our agents in achieving these results. With that I will turn the call back to Gabi.
Gabriella Nawi: Thank you. Tina, we are now ready for Q&A. I would ask you all to please limit yourselves to one question and one follow. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Randy Binner of FBR. Please go ahead.
Randy Binner - FBR: Great. Good morning. Thank you. I wanted to touch on the commentary around rate increases now moving below the increase in exposures. I appreciate the commentary that, I think you think you feel like you are getting rate ahead of loss cost and you are more focused on retention there, but a couple of questions. One, I assume there is going to be competitive profits to keep retention, so any new initiatives there or any more color on how you plan to keep retention higher. Then, as far as the absolute rate increase number we all watch so closely, I guess, I mean, is by definition we have to see that continue to moderate if you are achieving the rate adequacy.
Jay Fishman: Hi. This is Jay. Alan and I, I think, we will tag team this. First, just to be clear about rate gains, first, I assume you are speaking about our business insurance segment. I think, what Alan said was in our best-performing segments of that business, talking really about the middle-market predominantly, but it goes even beyond that. In our best-performing business, we continue to experience, let's call it, flat to upper point in terms of rate. Now, relative obviously an overall loss trend for that segment, it is not keeping pace with it. I would tell you that we are not attempting to. That is not our principal focus. Alan also said that in the poorer performing classes that rate gains there continue to exceed loss trends, so that's where we are. The reason I said we are not uniquely focused on that is that we are a return-driven organization and we ask of folks who have managed this just excellently to remember its agency relationships, its customer relationships and it is how you manage your business over time that matters. We start off with returns over time, that translates to account management over time, so if an account has had, and I am speaking very, very broadly here, but if account has had three years of increases and they have been a good account and we value them, we tell our people that there's nothing wrong with renewing that flat. It doesn't mean that if there's an opportunity to do a little better because circumstances suggest it, claim activity rising or otherwise, but they should attempt to do it, but that we manage our relationships and returns on accounts over time, so I suspect report, I part that if we are right about the cycle dynamics that you will see more of a stair step in rate gains more than sort of a constant trend line and ultimately I suspect with it the granularity of our discussion our best-performing accounts versus our poorer performing accounts will become more relevant in perhaps the way you see the world. Now, that's first part. The second, you spoke about retentions. We are not doing anything differently with respect to retain business than we ever have done and I am sure Alan can give you more color and will, but the way generally business is renewed, if the agent is satisfied, the customer is satisfied, if the market is satisfied, the discussions take place pretty early, well in advance of the renewal date, the account gets resolved at whatever it is and it gets renewed whether it is down a point zero, up a point or differently, so it is [ph] the retention discussions have become as you described more competitive. That simply isn't how the business is done. Those conversations take place given the data and the analytic we have in the context of long-term account management and doing right thing for the customer the agent for the long-term. I let Alan give some more color on that, but there wasn't anything in the world of retention that we are doing differently.
Alan Schnitzer: Randy, it is Alan Schnitzer. Let me also address both of those quickly. Industry observers tend to focus very narrowly on rate change and the long-term estimated loss trend we give you, and I would remind of comments during the quarter, which is there is a component of price change, which includes exposure that from a return perspective and from margins acts like rate, so we don't look at the narrow GAAP between rate and loss trend may be quite as precisely as industry observers do, and there is always variations quarter-to-quarter in weather and large losses and all those sorts of things that create volatility plus or minus within an expected range, so we are really in a pretty tight band. In terms of retention, I would have given you the same comments Jay did about our efforts, and I would highlight a real competitive advantage that we have. This is not us needing to do anything else. We have got an extraordinary deal capability, we have got great presence in the field, great tenure in the field, we have got great relationships, we have got great related services like our risk control and it is those sorts of things not developed this month or this quarter, but over many years that give us the ability to manage retention in a way that we think is most productive from a profitability perspective.
Jay Fishman: I would add. Again, that is exactly right. It is not uniquely a price discussion. It is important; it is only one element of long-term relationships and management. Lastly, at least through the third quarter, obviously with the first one out in the PC business this quarter retention is what I would consider all the quality companies they are all high. It is not that we are describing a set of circumstances that are unique for us. We think we manage it better than anybody else and maybe that is sort of our own pride in it, but the fact is that it is not our business that has been stable. It is broadly speaking, the industry's that has been stable and that is what so important.
Randy Binner - FBR: Very helpful. Just one quick follow-up and that is for Jay Fishman on stair step comment on rate. I didn't quite follow how that fit in a conversation, but I think you are saying is the good part of the book becomes more rate adequate. The places where you are trying to seek rate increases may have kind of a bigger impact on a quarterly basis on what we see for rate change. Is that what you meant by the stair step versus the trend?
Jay Fishman: Yes. I did, but the second part of that is that at the account level you may see a year, two years where in an account renew is flat, and then there is an attempt to recover, if you will, some of that loss margin relative to loss trend on that account. We are not a company. We have not issued an edict to the field that says get trend on every account. That would be a dumb thing to do. We say to them manage the long-term return given everything you know about the agent, the account, profile of that account and manage it thoughtfully and if that means that account is going to renew flat for a year or two, that is okay, so that is really the comment about stair step that I was speaking to.
Randy Binner - FBR: All right. Very good. Thank you.
Gabriella Nawi: Thank you. Next question please?
Operator: Thank you. Our next question comes from Jay Gelb of Barclays. Please go ahead.
Jay Gelb: Thank you and good morning. Jay, I know this is somewhat of a sensitive topic and I hope you are feeling well, most importantly. If you could update us on the health condition that was disclosed several months ago, along with any update in succession plans, that would be helpful initially. Thank you.
Jay Gelb: Sure. I appreciate the question. I have no sensitivity about it by the way, none at all, so first, thank you. I do continue to feel okay. I am here, I am on the job, I am still mobile. It's a little clunkier than it was and everybody here is helpful above and the call of duty and making sure that not only I can continue to do my job, but everybody here can continue to do theirs. As I disclosed, and someone asked me why did I disclose it, and the answer is because I needed to, to continue to do the job effectively. It was becoming apparent for those who were around me a lot that something was amiss and it was prior leave people in confusion and doubt or provide some clarity with respect to my circumstance. I have chosen not to be specific about the ailment really in respect of my privacy and my family's privacy and just do not think that it really matters a whole lot. Its relevance is I am 62, there isn't anything about my circumstance that causes me to change my view of my ability to continue work here as I did, I have something else to say, so the horizon is unchanged in that regard. We have been an active succession planning company for a long time and pretty transparently. If you look and see what we have done and what we have announced, it doesn't take a real genius to see what we are doing and what the next generation of leadership here is. I chuckled where 62 is kind of a magic number here Brian 62, I am 62, Jay Benet,62 Bill Heyman is 60-plus, so it is just that responsibility falls on us to make sure that we do this seamlessly, seamlessly. I would tell you that a board knows virtually everything. I have been completely transparent to them, and to the extent anyone really is interested, I have already begun to cut back fairly meaningfully on my non-travelers commitments and I will continue to do that, so that I can focus exclusively maybe, but there [ph] things are not going to give up, but to focus relentlessly on what matters here, so that's the news of the day.
Jay Gelb: I appreciate that. Thank you. Switching gears for Jay Benet, the capital return in 2014 for Travelers was 112% operating income, including dividends and buybacks. How should we think about that for the years going forward?
Jay Benet: There is really no change in the philosophy, there is no change in what we have said in the 10-Ks and Qs, earnings are going to drive what we are able to return subject to the number of items that we list and contributions being one of them. When you look at a particular quarter, you are going to see the ebbs and flows of what has taken place in terms of earnings from prior quarters, making the determination as to how much in particular in that quarter we will be able to return to shareholders, so there is no change in philosophy, no change in the kind of basis upon which it is done, all we were seeing is some excess capital actually that we ended the prior year with, working its way into the share repurchases in 2014.
Jay Gelb: Okay. Thank you.
Gabriella Nawi: Thank you. Next question please?
Operator: Thank you. Our next question comes from Michael Nannizzi of Goldman Sachs. Please go ahead.
Michael Nannizzi: Thanks. Jay Benet, I was wondering if you could follow-up a little bit on the development, maybe give us a little bit more color, maybe the breakdown between surety and GL. I am more interested in GL but on the surety piece how much is the non-renewal of that management liability treaty. How much of the impact of that has already come through. Then on GL, just trying to some idea on that '08 to '12 accident years, where are the most recent alternates on those books of business as compared to where you are looking in that business today. Thanks.
Jay Benet: I think some of that is a level of granularity. You will probably see when we file the Schedule P. You know we are in the process of summarizing all that data, so to give a very detailed information at this point in time, I think, would be a bit of a mistake. What we are trying to do is, give the overall picture as to how things have developed and in terms of the individual products, the individual accident years, so what we are trying to communicate was yes there was major shift in anything that affected PYD. As far as your specific question on the surety reinsurance, that has no effect on development. That's a contract that was in place that was looked at in terms of its cost benefit and we decided that it was not really something that was achieving the objectives and from a profitability standpoint and a risk standpoint, we would be better off not having it, but that really had nothing to do with PYD.
Michael Nannizzi: Okay. Thanks. Then just on expenses, the ratio in BI kind of dropped in the back half of last year and kind of stayed at that level first part of this year and now we have risen now to 32.5-ish range. Where should we expect to see that? I mean, is that where, you know, I am thinking about whether it is Dominion or something else? I mean, is there an opportunity to kind of bring that back down to what we were seeing over the trailing 12 months in the second quarter or is that where you expect to efficiently run? Thanks.
Alan Schnitzer: It is Alan again. If you look at the full year expense ratio, I think it was 30, 31.5 and that had a benefit in it from the first quarter that we disclosed then. That was on the year worth about half a point. If you adjust that first quarter event and have that half point again, round numbers that sort of what we feel like would be a fair run rate.
Doreen Spadorcia: Sorry. The benefit, remind you also workers' compensation state assessment liability that we talked about…
Alan Schnitzer: We had a reduction in estimated liability that we announced in the first quarter and we quantified it, so you will see it in our press release and 10-Q for the first quarter, so that really was the anomaly this year, so if you add that back in and look at the full year, round numbers I would say, it is always going to be up or down a little bit for one thing or another, but that will give you sort of a ballpark.
Michael Nannizzi: Got it. Great. Then last one for Jay Fishman. Is there anything that you think could happen in the reinsurance market as far as evolution or innovation that would allow you or how you to consider pursuing more growth in catastrophe exposed areas utilizing reinsurance or is that something at this point that is still not something that you foresee. Thanks again.
Jay Fishman: Sure. It is irrelevant question of course. First, we are engaged, involved and looking at lots of different things. The specific question you asked is, are you prepared to build primarily exposure and rely on a reinsurance profile that may or may not be permanent to produce an effective loss profile and there is the potential of mismatches there are substantial. Meaning, on the primary side very difficult to non-renew. Reinsurance, obviously, to be non-renewed instantly, when that happens, even if you pursue a primary non-renewable strategy, that 12 months where you had to think where the primary exposure sits and the reinsurance is simply not there anymore, so that is an arbitrage that I think as a potential mismatch to it that's concerning. Now, if reinsurance pricing were to drift low enough, in my judgment it is not there yet, you might sit there and contemplate doing that, but I would say that the mismatch risk there has real shareholder value attachment to it as well as regulatory. I mean, imagine trying to non-renew a significant enough book of business, where you would actually do this as a strategy as opposed to an operate tactic. It would be very disruptive, so I think not in that regard, but it doesn't mean that there might not be other opportunities and we are sure pushing it around. It is not obvious to us yet. Pluses and minuses, these things will have certain complexities to them, but it is not obvious to us yet that there is some magic, a dynamic there that has happened, the changes, the fundamental underlying economics of being the primary business. Now, maybe it keep going in that direction, but - not yet.
Michael Nannizzi: Great. Thank you so much, Jay.
Gabriella Nawi: Thank you. Next question please.
Operator: Thank you. Our next question is from Josh Stirling of Bernstein. Please go ahead.
Josh Stirling: Good morning, Jay. Glad you brought up the St. Paul Travelers' deal. I think it is really interesting topic for us to talk about today. Going back 10 years, people were not sure about the deal, but it has obviously been a fantastic success. As we are seeing a new wave of consolidation, I am curious to hear your perspective on the M&A we are seeing in the market today? When you think about the opportunities you guys are presenting, I am sure you have had a lot of opportunities to consider and debate this, and I am wondering more specifically, you have made a couple of smaller investments in the past couple of years. Should we expect you to do more of these as stock buybacks become more expensive in your multiple runs or alternatively should we expect you potentially to be more of a material consolidator in the small and mid-cap consolidation rate that seems to be starting? Just would love to get a sense how you think about capital priorities here.
Jay Fishman: It is a really good question, so let us break it into a couple of component parts. First, on the international horizon, to the extent and the Columbia situation was a pretty good one, I think, Dominion even though it was a $1 billion trade, to the extent there are opportunities to do things of that nature, where a business is either relatively new or underperforming and we think that collectively locally and what we bring ourselves, we can improve it, we will continue to look for those opportunities. It is they are increasingly harder to find, driven in some measure by the economics. Much of the economic environment outside the U.S., as well as the general competitive environment that exists outside the U.S. There are lot of areas where you would say kind of the last thing you want to do is, be competing there, and that was just not been in significant list, but nonetheless to the extent that opportunities present themselves in international front, we will we will most certainly look at them. I would not contemplate, by the way I could be completely wrong here. Meaning, you are asking me for an outlook, I am giving it to you today, that doesn't mean that we could change, but I would not contemplate that those would be large transactions. I do not know how one would look at Dominion. I do not think of it as a large transaction, meaningful, but I would not contemplate that international front, what would be that. We really have no interest in the reinsurance business in the broadest sense, so to the extent that there are the things happening in the arena Bermuda or otherwise, we largely do not pay attention to it and I do not really have a view on the value that has created there. I am not knowledgeable I am not close enough to it to have a thoughtful view. We have always said about acquisitions and this hasn't changed. It is very, very much the same. We are a return-driven organization, the principal view that we would take for looking at anything is what would it do to our return profile over time. Would it potentially improve our return dynamics and that could be either in magnitude or in volatility. To the extent there is diversification, geographic expansion and providing lower volatility returns that could meet the threshold also. The challenge for us in that regard is that, when you do something small in our business, you take all the risks of whatever it was, whatever undisclosed liability, whatever policy was written 20, 30, 40 years ago, you have got it. In many cases, the controls and procedures and knowledge base that exists in small companies just did not [ph] to warrant the risk they could take to getting into it. They just don't have the database that gives you a sense of comfort, when you are spending your shareholders' money that it is wise. In the larger transactions, given that we are such a high return organization, relative to the industry, it is hard to find at a price that can be achieved, a transaction that would meet that return threshold. They would [ph] for sure, but that is interesting, but not highly relevant. We are big enough, we do not need to be any bigger, but we are driven about returns, driven by them. If something significant were ever to be available, we would look and we would look hard. I do think that we are really good. By the way, at the front end at the back-end meaning - that goes on, when we look at something. Then, once we decide to proceed the execution side and a complex and complicated transaction, I think we are pretty good at that and I am speaking out for what is what people know in the marketplace, but also what you don't know. The things that we have looked at, the things that we have walked away from, because our own due diligence suggested no, that is not for us, so it's good. I think the challenge will be meeting all those standards. That doesn't mean we do not roll up our sleeves and dig in and we will continue to try, so but again that's my answers [ph] I can give you.
Josh Stirling: That is helpful, Jay. Thank You. If I could sneak in a quick one on pricing, so look I get that it used to be very cyclical industry and you have become much more data-driven and the company is more disciplined. If you are in the trenches in you are an actuary and underwriter, should we be expecting that generally a good - be able to cover their cost over the next couple of years, raising pricing you know 2%, 3%, whenever that entails or is that just kind of unrealistic, but it is still competition and capacity still matters and basically the market price is going to be driven by the more aggressive guys who probably do not do as good a job managing their business and they cut the market price to reduce margins, and sales and shift top-line growth?
Jay Fishman: I am always hesitant to speak for any other company, because I can only from the outside in proceed how you are manage their business, but I can speak to what we do and how we run our business. Underwriters will do, good ones, will do with precision what you ask them to do, so you better be really good at knowing what you are asking of them. We have taken the view, when I might - from the outside looking in is that we are not unique in this regard others too. If you tell an underwriter grow, they will. We don't tell them that, we tell them to find thoughtful ways to deploy capital. If they cannot, it is okay. It's okay. No one will ever be asking you why they did not meet their volume budget, because first time you asked them that they will meet at the next quarter and all of us understand that you would never speak to loan officer that way at the back. You would not say to a loan officer here is your volume goal and the torpedo is full speed ahead. If we do not perceive that there is a lot of difference between that risk profile and speaking to field underwriter, so we value their judgment and their insight and the data and analytics that we have in front of them to make thoughtful decisions to own the account, to think about do I want that account in my portfolio for the long-term, and what will it do to the return of my portfolio in a collaborative environment of the type that we have here. Really I cannot underestimate, I cannot overstate rather, I am sorry. I can't overstate how different that is than it was 20 years ago. It is just quite different. I think most importantly is that the feedback loop between what goes on in the field and what is really - knowledge at the home office to ways going on is stunningly shorter than it was 20 years ago, so the ability to act and react to changes not just cyclical big time changes, but local changes on offices, on market, on company in a local place is just that much better. I believe, again, I could be dead wrong. I think that the cyclicality of our business is and will be meaningfully reduced. Anybody who has tried prices are up now let's grow, I can't think of one company that has successfully executed that strategy in any meaningful way. If you look at history, it becomes difficult to say, boy that is a smart thing to do. I think the people who manage our businesses understand what it means to manage your risk profile and as a consequence they will do so. Now, on a given year, where we seek a - we will receive if long-term, if loss trend is 4%, we would be stupid to tell underwriters they got to get 4% on every account. That means we are losing accounts that don't need 4% in their returns and we will get 4% on those accounts that we - so we say to them be return-driven with that account, be smart, be thoughtful and be return-driven and it has worked for us. I think if there is anything about our results over these particularly last five years, I think that many industry observers have not appreciated how productive that approach can be to profitability improvement. Getting the right rate on the right account is really what it is all about. I think more and more people are beginning to understand that.
Josh Stirling: Thank you, Jay.
Gabriella Nawi: Tina, next question, please?
Operator: Thank you. Our next question comes from Jay Cohen of Bank of America Merrill Lynch. Please go ahead.
Jay Cohen: Yes. Two quick questions. Maybe the other one a little bit last, quick. Since we have had a notable drop in interest rates, if you can give us a sense of what the new money yields look like for your portfolio versus the portfolio yield today?
Bill Heyman: Well, Jay Benet has given you an idea of what our expectations would be over the next two or three years due to the drop in interest rates. We did that in the back of the envelope last night that is already, but last night the new money rates were about 50 basis points lower than the rates Jay was using in making his calculation which would equate to about $20 million after taxes of lower earnings, $20 million a year, the delta. This morning the tenure rate is up a little bit, but that $20 million is $15 million or $16 million, but there is no question that these rates are lower. Last year, as we look at our investment results, which including 2013 much to our surprise, they did so notwithstanding the fact that their rates were lower than our projections at the beginning of the year. We made for this year a new set of projections, which already looks 22 days in, but we are not [ph] in yet, but nonetheless about $20 million a year different.
Jay Fishman: That’s was Bill Heyman speaking.
Jay Cohen: Right. The tenure is actually down a little bit today, but at the end of the call - who knows. Second question, if we could get more color on international price change. We saw the premium change, but obviously I think exposure, but what's happening from a pricing standpoint in your major international markets?
Jay Benet: I do not have this slide in front of me right now, but I think it is in the webcast. You are talking about rate internationals?
Jay Cohen: Yes.
Alan Schnitzer: I would say what is there in RPC is split probably pretty evenly between rate and exposure.
Jay Cohen: Okay. You are still getting overall increased internationally?
Alan Schnitzer: We still have an overall positive renewal rate change in international, yes. The other thing I would tell you about our international relative to U.S. is our outlook for loss trend in outside the U.S. it is lower in the U.S., because we do not have the same level of exposure to the medical inflation.
Jay Cohen: Got it. Is that being helped by Canada, the rate change?
Alan Schnitzer: Yes. I would say the rate in Canada is a higher end of the spectrum.
Jay Cohen: Got it. Thanks Alan.
Gabriella Nawi: Great. Tina next question please?
Operator: Thank you. Our next question comes from Larry Greenberg of Janney Capital. Please go ahead.
Larry Greenbergs: Good morning. Thank you. I am just wondering if you can characterize how non-cat weather and large losses came in for the full year 2014, relative to what would be viewed as normal?
Alan Schnitzer: It's Alan Schnitzer. I do not know if you are talking about business insurance, but I will started in and turn it over to Jay maybe for a - if we grew cats, did you say cats…
Jay Fishman: Non-cat
Larry Greenbergs: The stuff that would flow into underlying...
Alan Schnitzer: Yes. Certainly above expectation and above the prior year.
Jay Fishman: Yes. I think when you look at the entire company, because this is going to be yes, it is like what you are asking if that large losses non-cat weather, they are going to be episodic, there are going to be dependent upon geography and things of that sort. When you look at the entire company, I do not think that this year 2014 was all that unusual a year as it relates to weather. I am talking non-cat weather now. When you look at BI, when you look at, I am talking non-cat weather now. You know when you look at PI and BI combined, it was probably pretty normal although BI was a little higher and PI was probably a little lower in terms of what they might consider to be normal. I think when you make the contrast to last year, which gets you away from an expectation and gets you into the weather and large loss activity of last year, meaning 2013 versus 2014, now there are I think 2014 was a little worse than 2013, but still a good year. Hopefully that is helpful.
Larry Greenbergs: Yes.
Jay Fishman: What we tried to do in the press release was to provide you not with the data, because it is difficult to measure these things but to adopt the phrase of normal variability in loss activity from quarter-to-quarter try to accommodate the sort of thought process and get away from the - Now, is it good is it bad, it is going to vary. Hopefully, when you get to a full year, some of the variances is less pronounced.
Jay Benet: It's a challenge for us to estimate normal non-cat weather. It is easier for us to speak about non-cat weather this year compared to last, this quarter compared to last year's quarter, but it has been exceptionally difficult for us to come to what would be a normal non-cat weather numbers, so we have a hard time speaking to it that way.
Jay Fishman: If I could just add, an example of what makes it difficult, you have times when given the granularity of what we look at, you will be looking an information and say well large losses activities is up somewhere. Then you get into and why is it up, well because slips and walls [ph] are taken, but the slips and walls, because of the weather. Yes. It is a very difficult bucketing process to end up summarizing all of this data and what we try to do is give you the concepts of what taking place.
Larry Greenbergs: Great. Now, that is helpful. Then on direct, I listened to what you had said earlier about continuing to invest in that business. The last couple of years, you have generated statutory underwriting losses of about $100 million from the businesses growing top-line a bit, you are getting a little bit of scale economics probably. I mean, when we think about that over the next few years, is that sort of the normal run rate of what expectations should be? I mean, is there going to be a drop in investment spending somewhere out there?
Jay Fishman: Well, this is Jay Fishman. I do not have a better number if I were looking out and one we are experiencing now and. To the extent markets change, certainly have not changed, obviously our strategy will, but if we start off with the premise that - when we started this investment, we said it. We said we were less concerned than some industry observers if a typical Travelers customer would go to buying direct, but we were not ready to bet the trumpet [ph] and therefore ignore the trends, so the development has been important. It is not apparent to us yet that there are enough Travelers-type customers who choose to buy direct or a direct business is scalable on it owned. It is not that we don't know how to get people to respond or how to quote and had issue, we would become really, really good at that that. It is that the number of people that we would think of as the customer that we seek are not choosing to respond that way, now that may change three or four or five years from now. It is a trend. I don't think it is appropriate to ignore it, so we will continue to develop the expertise and the skill, so that if in fact things change and there is a market opportunity for us, we are in a position to respond and we are not… The other point I would make and I do not know how to quantify it for you, but I would tell you that the benefit to the agency business, the investment, the technology and the underlying customer reach attributes, the ways customer connects to us, our ability to respond as and as a, I will call it an electronic company, for lack of a better term that has just been invaluable. I don’t know how any dollars it meant in the agency business, but I do know it is important. As I would remind everyone, I am not so unhappy that, that the Travelers' customer has not turned away from the agency channel as quickly as some people though. That is good for us. We have got a very big agency based business that is very profitable. If that change continues to occur more slowly, that is just fine with us, so this is a kind of a hedge your position investment that is necessary, because it is just not clear that it will continue this way, but I would say, yes. That is what I would certainly included if was..
Larry Greenbergs: Great. Thanks for your comments.
Gabriella Nawi: Great. Thank you. Tina, this will be our last and final question please.
Operator: Thank you. Our question comes from Brian Meredith of UBS. Please go ahead.
Brian Meredith: Yes. Thanks. Just two quick ones here. First, one for Alan and Jay, if I look at the business insurance business right now, and we look at the returns that are generating, they are pretty attractive right now. Is there any consideration or thought about having underwriters expand their risk profile right now kind of looking maybe into the E&S market a little bit, I know there are kind of ebbs and flows with the cycles. Also loss trend continues to be pretty favorable, so I think that is an area for growth?
Alan Schnitzer: Yes. Brain it is Alan. I guess the way we would think about that is, we are always challenging ourselves to think about whether there are new marketplace opportunities, but I would distinguish that from changing our risk profile to do it. If we could find opportunities whether it is in energy or whether it is in E&S or any other market, we would certainly look at it, but that would not involve any change in our return thresholds or our risk appetite.
Brian Meredith: Got you. Okay. Then the second one is for Doreen. Just looking at the homeowners, continued to see the declines in PIF, any thoughts on when that could start to stabilize or maybe start to trend upwards and what impact do you think the decline in PIF in the homeowners business is having on your auto insurance growth here?
Doreen Spadorcia: Brian. Good morning. I will answer that with a couple of different comments. We put some, as Brian referenced in his comments, due to some of the weather that we were seeing coming through the book and just where the levels of deductibles were and roof issues, we took some pretty strong actions in the homeowners' book. Some of our declines there were deliberate, whether it might be some concentration in some areas, so it was not unexpected to us that we would see some shrinkage. That being said, we feel really great of that we have come through the other side of that where our deductibles are, where the PIF is. The rest of the market probably was not as aggressive as we were in addressing property, but from where we are today and launching forward, we are very excited about that. We feel like we have got just a great launch point on that, because we look at account underwriting, there is no question that when there is pressure on one product, there might be some impact to the other product around either new business or retention. We have seen with QA 2 as we have become more competitive there, that we think that has allowed us to start growing the home line again. We are still in a negative position, but I can tell you that for 2015 and beyond that is going to be a very strong focus of ours, whether it is going to be how we do digital marketing, leading with some of our home capabilities, because we think they are industry-leading, whether it is to look at some different kind of practices in the quote process or an overall customer view, so we can utilize the strength in the property line to actually get not just more homeowners business, but more customer business for the Travelers. We knew that homeowners was going to be, the recovery was going to follow auto, so we are in the spot that we thought we would be and there is a lot of focus on that.
Brian Meredith: Great. Thanks for answers.
Operator: Thank you. At this time, I would like to turn the call back over to our speakers for any closing remarks.
Gabriella Nawi: Great. Thank you all for joining us today. As always, I will be available for further follow-up. Thank you and have a great day.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect all lines. Thank you and have a good day.